Operator: Welcome to the Q4 2014 Franklin Covey earnings conference call. My name is Cheryl and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to your speaker, Derek Hatch, Corporate Controller. Sir, you may begin.
Derek Hatch: Thank you. Good afternoon, ladies and gentlemen. On behalf of Franklin Covey, it's my pleasure to welcome you to our earnings call for the fourth quarter and fiscal year ending, August 31, 2014. Before we begin, I would like to remind everybody that this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are based upon management's current expectations and are subject to various risks and uncertainties, including but not limited to the ability of the company to stabilize and grow revenues, the ability of the company to hire productive sales professionals, general economic conditions, competition in the company's targeted marketplace, market acceptance of new products or services and marketing strategies, changes in the company's market share, changes in the size of the overall market for the company's products, changes in the training and spending policies of the company's clients and other factors identified and discussed in the company's most recent Annual Report on Form 10-K and other periodic reports filed with the Securities and Exchange Commission. Many of these conditions are beyond our control or influence, any one of which may cause future results to differ materially from the company's current expectations and there can be no assurance that the company's actual future performance will meet management's expectations. These forward-looking statements are based on management's current expectations and we undertake no obligation to update or revise these forward-looking statements to reflect events or circumstances after the date of today's presentation, except as required by law. With that out of the way, I would like to turn the time over today to Mr. Bob Whitman, our Chairman and Chief Executive Officer.
Bob Whitman: Thanks Derek. I would like to welcome everyone to our fourth quarter and fiscal year 2014 conference call. We appreciate all of you joining us. Most of you have probably seen the press release by now. We are delighted to report our results for the fourth quarter and for the full year. As you have seen, that our results for both the fourth quarter and the fiscal year were the best ever for our current business with revenue, adjusted EBITDA, average adjusted EBITDA margin, operating income, net income and net income per share for both the quarter and for the year, all hitting their highest levels ever for those periods. We were particularly pleased to achieve these results even without the benefit of having any fourth quarter revenue from the large government contracts which we have discussed in the past, which we believed had the possibility of being renewed during the fourth quarter. We are happy to report that the renewal of this large contract did occur just three days after the end of the quarter and of course will benefit the first quarter and fiscal 2015 as a whole. But we are pleased with the tremendous performance and very broad-based performance throughout the company. As shown in slide three, the results for the quarter and the year continued the pattern of year-over-year revenue growth and adjusted EBITDA growth and growth in really all the key metrics that we focus on. So let me give some financial highlights for the fourth quarter and for the full fiscal year, just on the numbers that perhaps you have seen. Revenue grew 10.6% to $68.1 million in the fourth quarter with overall growth of 7.5% to $205.2 million for the year. Excluding the government services in Japan regions, revenue grew 19% in the fourth quarter and 14.5% for the year and so this lack of renewal of the government contract and the Yen in Japan affected our growth rates on top and bottom line a bit, but still allowed us to meet our goals for the year. Our adjusted EBITDA grew 33.3% to $16.6 million in the fourth quarter, again without the benefit of the government contract renewal and increased 9.6% to $34.4 million for the full fiscal year, even after the very impact on adjusted EBITDA of the $5.1 million decline in government services revenue for the year and approximately $2 million negative impact on revenue from foreign exchange during the year. Our adjusted EBITDA margin expanded to 24.4% in the fourth quarter and to 16.8% for the year compared to 16.4% in 2013. This reflected more than 63% flow-through of incremental revenue to incremental adjusted EBITDA during the fourth quarter. Income from operations grew significantly increasing 59% to $14.3 million in the fourth quarter and growing 14.6% to $24.8 million for the full-year. Net income grew 61% to $12.5 million in the fourth quarter and 26% to $18 million for the year, partially reflecting improved tax rate for the year which Steve will discuss in more detail. And diluted net income per share also grew significantly increasing 55% in the fourth quarter to $0.73 a share and 34% to $1.07 a share for the year, again benefiting from the somewhat improved tax rate versus last year. The last highlight on that is our liquidity also remained strong. The cash balances growing to $10.5 million at August 31. We had also no borrowings outstanding on our credit facility and Steve will speak more to that as well. In addition to these financial results, we also feel very good about most of the business qualitatively. Our revenue growth and outstanding [ph] performance for the fourth quarter and full-year was very broad-based. And so the nature of the results are important for us. Our U.S. and Canada direct offices, without the government, posted 9.6% revenue growth in the fourth quarter and 9.2% for the year on top of very strong year last year. Our international direct offices achieved revenue growth of 4.2% in the fourth quarter, despite a negative impact on revenue of the year-over-year decline in the Yen. For fiscal 2014 as a whole, revenue in our international direct offices declined 3% with a 2% increase in revenue in Australia, a really exciting 27% increase in revenue in the U.K., which is now running our full -- it really runs just like any other direct office with all the events and launches and so forth. And a 15% decrease in revenue in Japan, largely resulting from the negative foreign-exchange rate related impact. Excluding foreign-exchange related decline, revenue for the year in these direct offices grew 3% or $1 million. Our international licensee operations grew 22% in the fourth quarter and 10% for the full fiscal year, reflecting ongoing efforts to implement the same client partner hiring ramp up and marketing initiatives that are driving revenue in our direct offices. Our national account practices as an aggregate grew revenue 30% in the fourth quarter driven by 32% growth in education practice revenue, 16% growth in sales performance practice revenue and 48% growth in customer loyalty practice off a smaller base. These same practices achieved combined revenue growth of 31% for the full-year. This is important for us. As you know, years ago, we established these vertical markets for offering specific solutions to specific problems and we are getting good growth in each of those and feel like we really have got some huge opportunities in each of these areas. The growth in all of the other areas is partially offset, as we said earlier by $5.1 million year-over-year revenue decline in government services region and a $2.9 million partially FX driven year-over-year decline in revenue in our direct office in Japan. Final headline here, the launch of our re-created 7 Habits of Highly Effective People 4.0 offering exceeded even the high-end of our expectations. You may recall that during last year's first quarter call we said that we expect revenue from the launch of the newly re-created 7 Habits 4.0 offering to be approximately $3 million to $4 million in the second quarter, $4 million to $5 million in the third and even higher in the fourth. I thought maybe $5 million to $6 million in the fourth quarter for a total of $12 million to $15 million for the second, third and fourth quarters combined. We are pleased that the total revenue from the new offering for those three quarters actually came in at about $21 million exceeding the high-end of our expectations. I would just like to quickly hit on the progress on our three big strategic initiatives. As you know, we have three overarching imperatives, one to consistently grow both our top and bottom line, two, to deliver quality results for our client organizations and three, to increase the size and productivity of our sales and delivery forces worldwide. We are happy to report that during the fourth quarter and for the year as a whole, we made strong progress on each of these key objectives. Stuff we talk about every Monday morning. We talk about it in every review and I would say that almost everybody in the company, I hope everyone, but at the least, almost everyone in a recent meeting we had, when asked to just write what the big objectives were, got it right and focused on these three things. So just a couple of headlines about each of those. We have already talked about the financial results. We talked about the revenue growth of 10.6% to $68 million in the fourth quarter and the full-year revenue growth and the fact that absent government services in Japan regions, revenue growth in the fourth quarter was 19% and 14.5% for the year. Now while some quarters will obviously always be stronger than others and we won't be unaffected by government shutdowns and foreign exchange fluctuations, our goal on an ongoing basis has been and is to grow revenue by approximately 10% a year and have approximately 25% to 30% of that topline revenue growth flow-through to increases in adjusted EBITDA. So our stretch goal just say is to achieve adjusted EBITDA of approximately $50 million within the next three years or so, just to keep accelerating, doing things we are doing, doing it better. Let's talk now about the second strategic imperative. I changed the order a little bit, which is about growing the size and productivity of our sales and delivery forces. As many of you know, we believe we have the opportunity to add many hundreds of additional sales territories and salespeople in our direct offices in U.S. and Canada in Japan, the U.K. and Australia and our national account practices. If you look at slide six, maybe first -- slide five just gives a demonstration of showing the revenue, total revenue growth of $14.3 million, shows the $8 million offset for government services in Japan and then shows the remainder of the company without the effect of those. On page 6 mentioned, this is an example, in this top half of the chart where it shows in the U.S., there are around 93,000 companies or company units that have at least 200 employees. That's a very good target for our client partners. And this is just a rough math, but actually it's pretty close to what we have been doing, which is signing around 100 accounts to a client partner. That would imply the number of territories, over 900 potential territories and as we talked about before, we decided early on that we weren't going to give the frosting to the first 100 client partners and cake to the rest, but we would try to have each territory represent the best we could, a vertical slice of the cake, so that each client partner has an equal opportunity. So that we have actually identified what these different territories might be in and territory number 900 looks a lot like territory number 40. So it has a similar opportunity. And so with that, we today have 88 of those territories covered in our domestic offices. These are corporate things, our four U.S. offices, leading a lot of opportunity. So I am not going into details, this is just meant to be directional, but it's an important point, is that we still think we continue to believe that we have this kind of potential for growth. With the current client partner count of 140 in the U.S. and Canada in total, including education, we believe that our current goal of adding 30 net new client partners per year will give us -- with that, we have a lot of headroom for continued and accelerating growth for many years to come. If you look at slide seven, just gives a demonstration, if we are able to add 30 net new client partners per year in our direct offices each year for just five years and have them ramp up according to our expectations, they would potentially generate over $100 million of additional revenue by the fifth year with only the first year's hires having by that time achieved their full ramp up. By the time each of the five annual class of new client partners have achieved their full five-year ramp-up, incremental revenue from just those five years of hires along with the beats would be generating something like $200 million, if they met those numbers. And that's in addition to the revenue we would expect to be generated from our 176 current client partners, approximately 75 of which are still in their own ramp up. And so, it's not surprising that, for us, these two objectives, making sure of quality results for our clients to drive the revenue, we want quality results for our clients and a repeat revenue growth, but the rest of our discussions and our measure these are how to hire and ramp up salespeople successfully. Let me just report on the key metrics. First, increasing the size of our sales force. Our number of client partners increased from 145 at the same time last year to 176 client partners as of today. And that's net of any losses. A net increase of 31 client partners in the past 12 months. As stated, our goal is to add approximately 30 net new client partners per year. We have detailed office-by-office plans for meeting this goal in our direct offices, national account practices for fiscal 2015 and for each of coming years. We expect our total net number of client partners to reach approximately 210 by this same time next year and this group of client partners, as I mentioned, if you gave them at least 75 previously hired client partners, who are still in the ramp-up, it creates both a base of strong current revenue and the expectation of significant embedded future growth as they complete their ramp up over the next few years. As we have also talked about in recent calls, the investments necessary now in sales managers, the extra cost of moving up to 30 a year, it was a big jump. We now feel like as we added incremental sales people, incremental costs, additions are fractional for every salesperson we have one-eighth of the sales manager. We have one-ninth of the regional practice leader. We have one-sixth of client service coordinator. And so it's somewhat formulaic and should allow us to have good flow-through in the future as these client partners ramp up. Second metric for us is making sure the new client partners do in fact ramp up according to plan. I am happy to report that our new client partner ramp up and retention continues to be somewhat ahead of schedule and that the revenue from and retention of our fully ramped legacy client partners also continues to be very strong. One of the byproducts of adding the sales managers was meant primarily to help ensure that the client that had a two-third retention rate that we would have the ramp up that we wanted. It's affected that and we, in fact, have gotten that and more, but it's also had a positive and very beneficial impact on retentions. Having somebody really caring for you, thinking about you everyday, going on sales calls, checking in on you and helping you succeed has actually been very good. And the final metric I would just a note is that the productivity of our international licensee partners also continued to increase. The company's licensee partner network continues to expand. Our number of international licensee partners, including specific education licensee partners, has now increased to 55. And these partners' strength and productivity has continued to grow. The opportunity for our international licensee partners to grow through adding new client partners is at least as attractive is in our direct offices. And many of our international licensee partners are now consistently hiring, and ramping up new client partners each year. It's interesting that recent Red Wood Council meeting, it's our top 40 leaders who went through hiring plans for the next couple of years, it became obvious that in fact our licensee partner operations in some cases will, in the aggregate, will actually be greater than those in our direct offices. There are so many more of that, but that's exciting that they are on the play, running the marketing events, et cetera. As shown in slide eight, the gross revenue of our international licensee partners on which we earn royalty of approximately 15% has increased form approximately $28.8 million in fiscal 2004 to almost $87 million in fiscal 2014. As noted previously, our international licensee operations' revenue grew 22% in the fourth quarter and 10% for the full fiscal year, reflecting these ongoing efforts with some of the same client partner hiring ramp up and marketing initiatives that are driving revenue in our direct offices, the relaunch of the 7 Habits offering is actually just getting underway in many of the countries. And so we expect that our international partners network will benefit significantly from the ongoing launch of 7 Habits this year. Our final overarching strategic objective is to consistently deliver quality results for our clients. This initiative has focused on ensuring that our content and solutions are best-in-class and that the way in which we deliver these best-in-class is to really have a immeasurable, lasting impact on our clients' results. We have made significant progress on our quality objective over the past year. We are doing a lot of interesting, really impressive things to ensure this quality and this progress continued during the fourth quarter and for the full-year. Some key metrics on this. Our revenue renewal rates, one, our revenue renewal rate remained very high in fiscal 2014 at approximate 90% of our revenue from fiscal 2013 repeating again in fiscal 2014. Our gross margin continued to be strong, reflecting the quality of our best-in-class branded solutions and best-in-class processes. Our gross margins have roughly maintains 67.4%. Gross margin was very similar consistent with the 67.6% in fiscal 2013. Then finally, the final metric for us in this area, is making sure our practices are growing. If you look at slide nine, it gives an idea that from the early days when we talked about establishing these practices, and thoughts of what might happen, each of our practice areas has grown significantly since then. This growth continued in fiscal 2014. As you can see in slide 10, in the fourth quarter, we achieved significant revenue growth across most of our practice areas, with customer loyalty growing 48% off a small base. Education growing 29%, sales performance 11% and execution actually declining 7% reflecting just the timing of some large accounts. Now we have talked in the past about what I call the HR Suite practice, which include our leadership, trust and productivity practices, all of them sell primarily to decision-makers in the HR Suite, achieved these (inaudible) overall growth of 12% during the quarter, led by 24% growth in our leadership practice, reflecting the success of the recreation and relaunch of 7 Habits, 3% growth in our trust practice where last year and then in the previous in 2013 that had been a major focus during of the third and fourth quarters and a 2% decline in our productivity practice. As we noted, to ensure the successful relaunch of 7 Habits and establish it firmly, the efforts of our HR Suite sales force will focus heavily on leadership during last three quarters of the year. Going further this year, when we look the number of events scheduled, it's quite balanced across those. We really expect to achieve good growth in not only the HR Suite as a whole, but in each of the practices, independently. And it's been our experience in the past that when we focus on something for a few quarters to have it take really establish it, it does establish it but some times at the expense of other offerings within the HR Suite, but for us that's been worth the products in establishing it. It has it's own following. It has its own client and each of the practices have then regained their growth. For the full-year we achieved significant revenue growth across most of our practice areas with customer loyalty again growing 36%, sales performance growing 27%, however for the full-year, sales performance benefited partially by the fact that we acquired it probably the prior year, but as noted it did have good growth in the fourth quarter as well, 11% growth in the fourth quarter, education grew 26%, execution grew 4% for the year. Revenue through the HR Suite practices grew 6% led by 15% growth in the leadership practice reflecting our focus on again 7 Habits offering which impact sales and productivity for us during the year. Finally just a couple words on our outlook for the future. Each of our key momentum indicators continues to be very positive and the momentum in our business continues to be both strong and broad-based. Our pipeline of booked days and awarded revenue which you can see in slide 11, just to give a quick analysis or at last a summary of that. During our strong fourth quarter in which revenue grew 10.6%, a substantial portion of our pipeline of booked days and awarded revenue on the books, which is on the books, has been in the third quarter was converted to revenue in the fourth quarter, including substantially all of the third quarter education pipeline. This is a normal thing that happens as our fourth quarter, which includes education and it needs to get delivered and a lot of it's getting delivered during the time when people are at school together with our big Annual Buy 10 Get 1 Free promotion or incentive on the facilitator side which isn't reflected in our pipeline that we tend to grow in a lot of the booked days and get them delivered in that quarter and a lot of the new business we generate is actually in the facilitator side. So as shown in slide 11, even though we did deliver an enormous amount of revenue during the fourth quarter, because we had strong new bookings in the fourth quarter, we were able to end the quarter with $26.9 million of pipeline that was in play which was approximately the same as in the prior year at that time. Since then, our government contract pipeline of booked days and awarded revenue related to the specific government agency contract, which was zero at the end of the of fiscal 2014 due to the fact that it was awarded after the end of the quarter, as I mentioned earlier, it renewed just three days after the end of the quarter. And so that contract, another strong bookings, our pipeline of booked days and awarded revenue has grown $2.8 million since the end of the fiscal year to $29.7 million at the end of October. We have a lot of good things happening. Our prospective business pipelines, which as you know are measured with the amount of potential new revenue currently being discussed with and proposed to existing potential clients, increased significantly during the fourth quarter compared with last year and reached record levels in our U.S. geographic offices and in our direct offices in Japan, Australia and U.K. and international account practices. As you know, these pipelines are one stage earlier than the contractual pipelines that historically have been very strong predictors of a likely strength of our bookings and revenue in the coming months and quarters. So we are feeling very good about the pipeline build, the size of it and the rate of build which we track every week formally. And in fact, the conversion of this large prospective business pipeline at the end of the fourth quarter has already begun to translate into significant new contractual bookings and revenue in our first quarter. So overall we are very encouraged by the strength of our 2014 with fiscal 2014 results by the momentum we have continued to see in the business really almost across the board, by the continued growth in the size and productivity of our direct sales forces, by the growth in our international licensee partner operations and by the overall momentum and trajectory of the business and what we believe it indicates for the coming quarters and for fiscal 2015 as a whole and beyond. As a consequence we are setting our fiscal 2015 full-year adjusted EBITDA guidance range at $37 million to $40 million. To provide some direction on the likely spread of our expected increase in revenue and adjusted EBITDA, you might just refer to slide, which 12 provides a historical overview of our historical spread of business throughout our fiscal year. This historical spread suggest that a disproportionate amount of our total adjusted EBITDA and our growth in adjusted EBITDA would be expected to occur in our fiscal second, third and fourth quarters. This normal pattern is likely to be even more pronounced in this first quarter, due to the fact that we tend to hire a lot of our new client partners the first year for sales academy. We have good 15 new client partners in for their initial sales academy training this week. We also increased the commission draws for all of our client partners so they have had a big year and now have a new goal that's substantially higher than previous year. They get an increase in their draw to match that in the aggregate so you are sold out during the year almost to the person, but along with those great results and increased sales targets, they also get an increased draw. So between the new salespeople and increased commission draws, they have a disproportionate larger impact on the first quarter. So consequently we would expect that almost all of the strong growth in adjusted EBITDA, we expect to achieve in fiscal 2013 will occur in our second, third and fourth quarters. We expect the revenue ramp up of new client partners hired in the first quarter would now hire them as a full class. So they are getting in together to provide a positive tailwind for us in future quarters, even by the end of this year when that really starts to contribute an increase in revenue and more than covering the cost. So we are encouraged by the strength of our results and that momentum and we will continue to see in the business. But we expect it to be a very, very good fiscal 2015. So I want to thank each of you for your continuing support and guidance. I would now like to turn the time over to Steve Young, CFO, for some brief remarks. Then we will open it for questions-and-answers. You might just note, as I turn it over to you, Steve, is that just for your information, Knowledge Capital, who is on to 1 million registered shares for approximate 14 years and who received an additional 2 million shares through the net exercise of warrants 18 months ago has requested that we now go through the process of registering those shares as well. So subject to Board approval, we expect to file this registration statement later this month. And I just wanted you to be aware of it. But I believe that Knowledge Capital is likely be a major shareholder for years to come. Mr. Don McNamara is a management partner for Knowledge Capital, who has been a member of our Board of Directors for many years and standing for reelection again this year. As many of you have observed, however that if Don would have sold shares it might provide an opportunity to broaden our shareholder base. So I just wanted you to be aware of that. I will now turn the time over to Steve.
Steve Young: Hi. Thank you, Bob. Good afternoon, everyone. I am pleased to just add a few comments. First of all, as Bob talked about, I would just like to point out again, that in the five years since the end of fiscal 2009, we are pleased that our revenue has gone from $123 million to $205 million, an increase of $82 million. We think that's a reasonable growth over that period of time when some ones saw some difficulty with some of our competitors and others. Second, you noticed our tax expense. This year's increase in net income is due to significant increase in operations and a significant decrease in the effective tax rate. We benefited this year from electing to utilize all previously unrecorded foreign tax credits. Our effective tax rate was 26% last year. It's 17% this year and is expected to be approximately 40% next year FY 2015. All foreign tax benefits have now been recorded. We haven't seen the cash benefit of all unused foreign tax credits yet, but we have recorded all of the benefit in our tax provision. Just a comment on our ongoing investments. We are pleased that with these results that we have reported, are being achieved while continuing to make these significant ongoing growth investments in the business. While these growth investments totaled more than $20 million this year, we are poised to still see significant increases in adjusted EBITDA and other measures. We see opportunities for continued growth and we believe that our are investments have and will continue to pay off. Our net cash. In FY 2014, we generated $18 million of cash from operating activities. We also used a little more than $13 million of nonrepeating type cash activities, including additional capitalized development for 7 Habits, acquisition payments and a significant amount of cash paid for shares through the net exercise of share based awards. Next year, while there might be some similar items, this particular $13 million use of cash will not repeat, meaning that our cash balance will increase significantly related to these items. We would not intend it this time, as we have said before, to just let excess cash in the bank, but instead buy shares or do something else with cash that would be beneficial to the shareholders. Lastly on slide 13, you can see the FY 2015 financial statement estimates that we normally provide. So I think this has been a very good year, optimistic about the future and happy to turn the time over for question-and-answer.
Operator: (Operator Instructions). Our first question comes from Alex Paris of Barrington Research. Please state your question.
Matthew Gall - Barrington Research: Hello. This is Matthew Gall filling in Alex today. How are you? Congratulations on the good quarter. Just kind of a more of a high-level question. Given the great job that you have done in explaining the sales force model in previous quarters and the success you have had in terms of the ramping and accelerate ramping and efficiency gains, what would be a limiting factor, if there is one, and you think you can continue to drive the efficiency gains with people during that ramp-up phase?
Bob Whitman: Well, as Shawn Moon, who heads our direct sales forces and the direct offices, will respond. And Shawn, if you are ready?
Shawn Moon: Hi, Matthew. Nice to talk with you. This is a question we ask ourselves everyday, to be quite honest with you, and one of the quick answers is that, and there are several answers to things that could potentially get in the way. One is that we try to do too much too fast. We try to be very prudent and aggressive at the same time in terms of how we bring on our client partners. We want to feel stressed and make sure that we bring on the right talent, the right quality, train them appropriately and have the right level of sales and management support without collapsing the infrastructure. And that's the balance we think we have struck with about 30 per year at the high-end. The more we refine our processes and systems, actually the more aggressively, in the out years, we might be able to be. We are pleased right now that we are tracking a little bit ahead of our ramp. But we are also being more aggressive this year than in prior years. And so we are going to monitor that very closely this year. So that's one thing. The second is that limitation of sales and management. That, as you know from previous discussions, has been a position and a function that we discussed a lot and has proven to be really, really helpful for us in terms of, well two things, ramping our client partners but also moving the middle of (inaudible) that framework that with our existing client partners and we move that middle just a few degrees, it has a big impact and we have seen that over the years. So if you are in the right level of sales and management, making sure they have the right level of experience and then they are following consistent processes is critical. And if we don't do that it will limit. We have a measure that would use called relentless replicability. We need to be a able to replicate region by region, office by office and licensee partner to direct office. And if we were to do those things, we will limit and in doing it too fast, we will limit. But that s kind of the thing, you have touched on the thing consumes this. And we thought we have got good plan.
Matthew Gall - Barrington Research: Okay. Well, thank you for the color on that and that makes sense. Also just switching over more specifically to the education practice and the great success that you have had there, can you give us maybe some insight into your expectations for this next year in 2015? And also when the selling season begins for the team? And kind of as a follow-up, given the success you have had in education, can you provide maybe a little bit of a sense of the competitive environment? And if you are seeing any more competition out there?
Bob Whitman: Well, I will let as Sean Covey cover this.
Sean Covey: Hi, this is Sean Covey. Thanks for the question. Yes, so expectations. For this last year, we grew at about 26%, 27% for the year and we expect we can continue in that range going forward. You know the numbers get bigger, but the opportunities are strong. Our pipeline is strong. So I think we can continue to grow in the same range we have been, at least this last year. In terms of, you know, we have about 1,900, coming close to 2,000 Leader in Me schools right now. Leader in Me is our school transformation process. And we find increasingly we are getting into bigger districts, which provides new opportunities for us, where typically we start with a few schools in a district and have some -- the Leader in Me is really all about driving climate and culture change inside of the school. And if we do well there, we find we have more opportunities. So that's good. We are not penetrated very much at all. We are in the U.S. about 1,600 schools out of about 100,000 in U.S. and Canada. In terms of competition, we don't feel we have a direct competitor. There are other whole transformation processes that are different than ours. We get compared a lot to character education program. We don't feel we are really a character education program, because we are a lot more, our scope of services is a lot broader than that. So we don't really put ourselves in that bucket. But there are a few smaller emergent, I guess you could call them competitors, that are all of about culture change that emerge, but we don't think they are real big right now. So we think the biggest challenges we have right now is just continuing to make sure our quality of high. We want to have a long-term relationship with the school. We like to establish with the school and be with him 20 years later. So our biggest challenge is just quality results for the school and continuing to focus on that.
Bob Whitman: I might just add that because of that focus on quality results, which Sean has been relentless about, I think it gives us an internal goal and things that you should model probably different. I think we would feel that we would be willing to live with a slower growth rate than the 26% you have got and I think to make sure that everything we are doing is having the impact that we wanted to have on the schools. And so I think in my mind, if we had a 15% growth next year in the education practice, that would be a really great result, particularly given, Sean you might mention you have the whole new process, the 3.0 versions and the different versions you are coming out with. I think, just for modeling purpose, we may slow down in some areas by choice, just to make sure that everything we do is making a real difference in our clients' schools.
Sean Covey: Yes. Our goals in education are just typically double-digit growth. We want it to be 1% plus. And so that's the true target that we shoot for.
Matthew Gall - Barrington Research: Okay, great. Great, thank you and just one final question and then I will get back in the queue. This is maybe more so on the modeling out the seasonality of the business. Over the past three to four years, obviously Q4 is becoming a bigger portion of the revenue stream. And obviously that is somewhat driven by the education practice. But just curious, do you think that obviously with double-digit growth in that area, do you see that begin to normalize? Or do you think that trend will continue? And that will be it for me. Thank you.
Bob Whitman: I think the seasonality, I would like to say, is driven by two things. One, large amount of education revenue in North America, which occurs during that period of time and the second is the fact that years ago, before our time actually, because that fiscal year ended the end of August, there is no particular reason why the corporate side of the business should be bigger in the fourth quarter, but because we have always use of thousands and thousands of client facilitators, teaching their own companies and because we have a tradition of having a large promotion in the fourth quarter, it tends to spike that. I think the education side will continue in North America and in Europe to be seasonal in that regard, but we are also building out the business in South America through our licensees who helped balance that off some. I believe it would be a good thing for us over time to get away from having the fourth quarter be the big promotion time. There is no natural reason for it to be so. And while we are not stating a specific thing, but if you were talking to us on this phone call three years from now or four years from now, you will find that we have shifted our big promotion probably to the end of November. So that we are starting out our year and we may do that sequentially one office at a time or may just do it all at one time, a year or two from now. But I think it will be a good thing for us not to have the artificial seasonality this year, having so much of our total EBITDA for the year occur in the fourth quarter. We are cognizant of that. Some of that just is what it is. But this other is self-inflicted seasonality and I think over time we are doing various things that will tend to move that. There is a third thing, which is subscription service revenue. It is becoming, not a huge portion of our total revenue, but increasingly an important part. The Leader in Me online, My4DX, which is a subscription service portal that supports four disciplines of execution, 5 online, InSights, these other products all of which are growing rapidly will also tend to do that. We have a conscious goal and we will keep you informed as to when we take the actions to start moving it over. But to move this so that education is our fourth quarter, big thing first quarter, when corporations are back from summer and really getting ready to do stuff, we will try to move that over time. So we have a much less seasonal business. It will take us a few years to get there. Is that helpful?
Operator: Our next question comes from Tim McHugh from William Blair. Please state your question.
Matt Hill - William Blair: Hi. Good afternoon. This is Matt Hill, in for Tim. The first question I had was around the government contract that got renewed. Just trying to figure out how to get this in the model here. Looking at the pipeline, backing in with the percentages, it's about $4 million and then last quarter with guidance coming down for the fourth quarter by $1 million, primarily due to the government contract, I am just wondering, how to size the contract based on those numbers that are out there?
Steve Young: So the total contract value is approximately $6.5 million. A portion of that comes in the form of intellectual property license which is interesting in this pipeline of booked days and awarded revenue. It kind of skips it because it wasn't here at the end of August and it's recognized when it came in September. So it never showed up in the pipeline. And so that's what makes -- we have made it hard on you, Matt, to calculate. Total contract size is $6.5 million. We have already received $2 million of that when it was awarded shortly after it was awarded. So there is still another $4 million or so that it will come in and it should come in during -- some of it will in and balance for the first quarter that will be really primarily -- the balance will be primarily allocated in the second and third quarters. The contract is actually for that period of time and ends at the end of our third quarter.
Matt Hill - William Blair: Okay. Great and then just talking about incremental margins and to go with 25% to 30% flow-through, just looking at the guidance for this year and turning to look at a revenue number out of that, are those the appropriate incremental margins we should be looking at? Or are those not the true ones, given all the investments still in the sales force?
Bob Whitman: I think from an investment standpoint, I think they are the true margins. So at about 10% growth would give you roughly $20.5 million in incremental revenue growth and somewhere between 25% and 30% of that, let's say, $5 million or so of incremental revenue, which falls within the range. There are two things in our range that we recognize is that, one is the Yen and other FX changes that we don't control and so in local currency, we would expect them to grow, but whether that will translate to local or not, you don't know. And there is always a pothole somewhere, sure we think we budget for in the general thing, but I think it is primarily an FX question that we don't know exactly what the impact will be. In our guidance, we are not expecting the renewal of the government contract or not projecting the renewal of the government contract. We are not projecting a lot of other things that we hope would happen that offset any negative surprises. But it is basically the -- but I think from a local currency perspective, we think we are now at a point where our incremental investments will be in line with the long-term model and that if you take out any potential for FX that you would be thinking that on $20 million of revenue growth or so, you would have $5 million plus of EBITDA growth. So I think our range attempts to take into, let's say that that's possible on the high-end if you don't have tremendous FX hit, but if you do, hopefully it will still give us a cushion to be in the range.
Matt Hill - William Blair: Okay. Great and then just one final one on the international licensee piece. Just how far along in those partners kind of developing the 7 Habits program? Do you have any insight there of just how much penetration you have with those guys?
Sean Covey: Yes. With the launch of the new 7 Habits? Yes, sure. We are at the very front end of this. I would say, if this were a meter, you would be at 15%. We spent the last several months localizing in all the key languages. We have a few countries that have started it. Of course, the English-speaking countries already have launched the 7 Habits, but it's 50% of our revenue with international partners. So it's a big chunk. It's what they know best. It's what they are most experienced with. And so we think this is a big opportunity for us this year. So it's just that at the front end we have hundreds and hundreds of events that are being planned for right now. We are going to run events like we did here in the U.S. So I think one of the encouraging things we have for the part of this coming year is this big chunk the revenue will be just on the front end of it.
Matt Hill - William Blair: All right. Great. Thank you very much.
Bob Whitman: Thanks, Matt.
Operator: Our next question comes from Jeff Martin from ROTH Capital. Please state your question.
Jeff Martin- ROTH Capital: Thanks. Hi, Bob. Hi, Steve. Hi, Shawn. How are you?
Bob Whitman: Hi, Jeff. How are you?
Jeff Martin- ROTH Capital: Doing well. Thanks. Just to segue off the international license question there. You said 50% of revenue is coming from leadership today. That was 80% probably two years ago. Could you characterize which practices are growing rapidly with the international license partners?
Shawn Moon: Sure. Yes. So leadership is still the biggest. There are other practices that are growing faster, of course, just because they are smaller, I think, to start with. But the productivity is growing rapidly. Growing at about 25% a year. So performance has grown about 50% a year, much smaller practice, but a lot of potential and opportunity there. Education practice among the partners is growing rapidly as well. They are in the 25% plus range. So across the board, all of the new practices, however the smaller practices, productivity, execution as well is strong. We have got good solid growth across the board growing a lot faster than leadership is growing. But again that's one of the big opportunities we have. And we will continue to grow leadership which is the plan. We want the new practices to cannibalize leadership. It will continue to focus on leadership. But it's hard to grow these specialty practices as well as our other core practices like trust and productivity. So again, I think this is the two biggest opportunities we have with the partners, is one running the play, running the same process for hiring and ramping, running new guys and so forth that we are doing with our direct offices. That's one key thing. To treat them more like a franchise, you know, this is what we do versus just to lease license. And then the second thing is the practice growth. So will continue to push on those new practices while we continue to try to grow the leadership one as well. I expect leadership continue to come down as a percent of total revenue.
Bob Whitman: Jeff, there is one other factor that will affect that and Shawn may have mentioned earlier but now we are in addition to our, just as we have the HR Suite in our direct offices, we also do among our licensees. The primary -- most of our licensees have license rights and their whole focus of their business. We would be happy to expand that leadership, most of their focus has been in the HR Suite and leadership, productivity and trust. And so it's natural those areas would grow. As in the direct offices, execution is a natural thing to sell to the same clients, but it's a different entry point. But beyond that, the specialty practice and the national account practice, we are actually signing new licenses around the world that are specific. So in addition to just a shift, the mix shit within existing licensees, we are adding additional licensees in education. We expect to do the same in sales performance, all the more in customer loyalty. And so over time, that will also accelerate a shift because 100% of those licensees are which will be in something other than leadership.
Jeff Martin- ROTH Capital: Okay. That's good to know. Could you give some perspective around the upside in Q4 from the 7 Habits relaunch? And with $21 million exceeding your expectations by a pretty wide margin, do you think there was any pull forward of revenue from 2015?
Bob Whitman: Jeff, the reason it wasn't is because a lot of this 7 Habits business is done with license facilitators inside companies. And so it's not so much that you have large contract necessarily. I mean it leads to that ultimately, but most the sales in this early launch phase we are getting both the existing base of the license facilitators recertified and teaching and then getting new people who came in and bought it and they made a decision to become a licensed facilitator of their own. So as a consequence, those sales tend to kind of happen. They weren't contracts existing because they probably have not even sold, it wasn't something you were able to bring forward. And so in total, while that you have a launch that was very successful, you see it also affected the growth of some of the other practices. And so all of the revenue that we had in 7 Habits wasn't incremental to the company either. But it established it firmly but we don't think there was very much, if any, pull forward to the end of the quarter. It was mainly people getting certified, Shawn Moon, I don't know if you want to add.
Shawn Moon: No. I would agree with what Bob said. The existing facilitators base is really the critical target that we went after. And some of the new facilitators that we target, new organizations, new logos take a little bit longer in the sales cycle to do so. So while there may be a little bit of pull forward as there always tends to be at that time of the year, it really also tends to build the coming quarter with a pipeline that we otherwise wouldn't have had. So it balances it out.
Jeff Martin- ROTH Capital: And then, just on the high-level, what kind of growth in leadership is possible in 2015? And how long does the tail on 7 Habits run you?
Bob Whitman: We believe, let me just give you maybe a context for this, Jeff. Among our existing client companies, of course, many of whom are existing who have existing 7 Habits facilitators, more than half of those that have converted over to the new 4.0, others either because they have already customized materials or they had enough, they may need to buy new manuals, we sold probably 40% or so of these existing client facilitators to ultimately come over. So there would be some natural growth among that group But I think the growing is the big thing for us that we think if that existing client company has taken the U.S. 2,700 or 2,800 client companies, not all of them of course are 7 Habits companies but if you look at this, in the U.S. workforce, there are 165 million people or so. You can tell us the more specific number and say 115 million of those work outside of local or state or federal government or not for profits. And so with that just, just call it 110 million people, there is a manager out there for every 10 or 11 of them. So there are 10 or 11 million managers. So there are, in that earlier slide, there are 93,000 companies that we could assign to a client partner and ask them to actually develop that company. But in those companies, there are millions of people who could make a decision to take their team through 7 Habits or take them through trust, et cetera. And so we are making a real effort to make sure that these launches aren't just a, hey, we are bringing new launch out to existing customers and now they have done it. 75% of the participants that came to our events, the 7 Habits launch event, after the first. In the second quarter, we had like a three week period where about half of those were existing clients. But after that, 75% of all the people who have come through events are actually new clients. They are not currently customers of the company. And they have come and remarkably, it's just pulling up the pieces. We have pulled it from probably another product category, but this is one where these people without -- they may known about 7 Habits but they weren't a current client. They came in. We thought they find it interesting and then certifier or go back to the company and do that a month later and of course a significant portion of those do that. But we are really surprised pleasantly that a significant portion like 20% plus of those people who came to the event were able to make a decision within two or three weeks of the event. And so our basic plan is to say, we have got a marketing effort that will run this year. It will run, last year we had 480, we call them event equivalents, I won't go into the details, but you would find a certain number organizations coming through an event so that you have a bigger event that it can be 1.7 equivalent. So we just normalize. So we had about 486 last year in the U.S. and Canada. We will be over 700 this year. And so basically 7 Habits will probably run more events this year than it did in the second, third and fourth quarters this last year, because you have got more client partners. They are more trained. And we will do the same in trust. And we will do the same in productivity. And so we really believe that there is portion of our business that are the year-in, year-out going after these 10 or 11 million decision-makers and of course 30% of those change over the years. So there is kind of an endless supply of decision-makers. We are having 30,000 or 40,000 of these people come to events and we are not going to eliminate that potential very soon. And so we think, hopefully this response to the 7 Habits launch ought to continue for the next 10 years. Speed of Trust launch ought to continue for the next 10 years. The productivity launch ought to continue for the next 10 years. We will continue to refresh the products, but the basic idea doesn't seem to have a lot of headroom. Shawn Moon, maybe you want to add.
Shawn Moon: I was just going to say, and on top of all this, it doesn't really address this coming year, maybe the year after that. But we are very pleased in this forward to the 7 Habits book Jim Collins wrote, and described the 7 Habits 25 years ago. As we work with the new workforce, the new generations is coming into the workforce. These are folks that have not been exposed to the material and we are actually being very pleased with how they resonate with this and how they see this as a particular and important way of increasing the productivity and their leadership skills and their aids. So we think this is a bit of an evergreen for us.
Jeff Martin- ROTH Capital: Great. Thanks for the color, guys. Very helpful.
Bob Whitman: Thanks very much.
Operator: Our next question comes from Marco Rodriguez from Stonegate Securities. Please state your question.
Bob Whitman: Hi, Marco. How are you?
Marco Rodriguez - Stonegate Securities: Doing well. How are you guys?
Bob Whitman: Great. Thanks.
Marco Rodriguez - Stonegate Securities: I have a couple of quick questions. Most of my questions have been asked and answered, but I just want a little bit about your EBITDA goal, the margin that is. Hitting 17%, 18%, it seems pretty likely for you guys in this fiscal 2015, and I know in the past you had mentioned that you would like to look at shifting some of the investments to accelerate long-term growth. And obviously you invested quite a bit already, with the ramps of the CPs, but I was wondering if maybe you can discuss what sort of strategies or other investments as it relates to the subject should we be kind of thinking about once you have got 17% to 18% milestone? And also what sort of timing should we thinking about?
Bob Whitman: We used to say and believe when we said it that when we got to 16% EBITDA margin that we would trade-off accelerated growth for higher margin. And we have done everything we can do to do that. We have tried doing -- we have increased and invested more heavily, increased the number of client partner hires, et cetera. I think we are now, though, is feeling that we are making significant investment. We are investing 4% of revenue every year in pure R&D. We are investing another 3.5% in practices. We are investing millions in marketing, hiring 30 new client partners. But now it seems to be more kind of formulaic. And so if we had a big opportunity to increase the practice area or whatever, of course we would make those investments. But it seems that with the expected flow-through reflects ongoing significant investments in growth every year. We re investing somewhere and if you include the hiring of new client partners and all the investments in marketing, et cetera, it's more than $30 million of growth investments, our growth budget. But with that, we think the idea of a 25% to 30% flow-through, which compressed some in last couple of years when we were building the capability to hire 30 a year, with that, at least as long as you are hiring 30 a year, it was a pretty reasonable thing, which would take us to that 18% mark in this year or the range we were talking about. In the future, if we were to make a decision to try to amp that up and move to 40 or 50 client partners a year, which we don't anticipate doing in the next couple of years, that would require again some probably stepped up investments for a year or two in infrastructure to move it to that level. But at the current level of 30 a year, which I think the biggest risk someone, Marco, I think raised the question earlier, as to what risk what do we see and Shawn answered, well that we have this metaphor that was used by Jim Collins in his Great by Choice book, beginning with the 20 Mile March, which is a metaphor for the Amundsen South Pole expedition. It's a hard goal, if anybody has ever marched 20 miles in one day in the snow, that's a lot. So that's not an easy goal. But the thing is, I am not trying to go 40 miles when it's going to exhaust you. So I think that the current level of growth that we anticipate for the coming years is 10% topline, you will get to the 18% EBITDA margin. I don't know, Steve, if you want to add to that. I think it will get to that probably maybe in this year.
Marco Rodriguez - Stonegate Securities: Got it, and is there any thought to making like a large acquisition. I know obviously you have made some small ones here very recently NinetyFive 5, but any thoughts around that?
Bob Whitman: Let's talk about the things that would argue against it for a second. Given the ramp up, so you wouldn't tend to do it to get more distribution, unless it was maybe some unique distribution that we couldn't get to ourselves. Because as you know, the client partner ramp up model means that the money you invest in new client partners in year one, you usually get back within a year or so. And so it's hard to think you would be able to make an investment in just distribution unless like there was some new channel, maybe somebody had unique distributions to small businesses, maybe they are too small to be called on. It might be something like that. The argument on the other side is to buy to get content because of our distribution and because we have set significant distribution out, even the small roads where it can be, it still large relative to almost anybody eels in our industry and as a consequence we have lots of content providers who come to us and give us the option to license their contract or ask us, would we be willing to distribute through them. We don't need to acquire them to either acquire the content or to license the content. So as we look at, what would you get from doing a big acquisition versus the list of integration and wondering whether it was incremental. Our thought about acquisitions is that we should do some, but they will be more likely, at least in our minds, we will be more likely to entering a new solution category where there is an existing (inaudible) own something like, just using as an example, merger integration. Somebody who had a merger integration practice that's already up and going, it's not something that we have particular expertise, then yes, we have content and we have done lot of things around that problem but not a full solution. It would tend to be that. I think our view is probably the same with acquisitions as it is with adding sales people. We want to fire bullets, not cannonballs. So I don't think -- it would be unusual for us to even be thinking about something where it would fundamentally change the nature of the business to make the acquisition. Sorry, I hope that's responsive.
Marco Rodriguez - Stonegate Securities: That's very helpful. And last quick question. Just a couple of housekeeping items. In your adjusted EBITDA table, you have got a couple of line items reduction in earnout and an impairment of related party receivables. Where are those hitting on the income statement? And then lastly on the balance sheet. Your payables kind of spiked significantly sequentially. Can you talk a little bit about what drove that?
Steve Young: Both of the items you mentioned from the adjusted EBITDA scheduler are in SG&A. And I am sorry, I missed the second part of the question. It was spike in?
Marco Rodriguez - Stonegate Securities: Payables.
Steve Young: Well, it's just that the nature of when we make certain payment. There isn't anything fundamentally different in the way we are handling our accounts payable or the rate at which we are paying people. We make payments when we need to on this. I mean, according to the timing, the age of the payable. And this time it was just a case where at the end of the year we had little bit higher balance than we did the year before. Nothing fundamentally going on our related to accounts payable.
Bob Whitman: Are you including in that question, Marco, also just the accrued liabilities which would include all the commissions from the large sales in the fourth quarter or just looking at payables?
Steve Young: I think it was just the accounts payables.
Marco Rodriguez - Stonegate Securities: Yes. Just the payables. I mean you are roughly $7 million in Q3 and it went up to $12 million in Q4.
Steve Young: I would say, we are looking at each other. There is nothing fundamentally going on related to our handling of accounts payable. We had some additional inventory related to the 7 Habits that we acquired, but we didn't handle that in any different way than we handle payables before.
Bob Whitman: Mainly we dint extend the timing of which we pay anybody in order to generate.
Steve Young: Basic payables. I mean those that aren't immediately, like for instance we pay for this, we pay everybody within 45 days. And so that's just kind of a moral imperative. So that doesn't change.
Marco Rodriguez - Stonegate Securities: Got it. Thanks a lot guys.
Bob Whitman: Thank you, Marco.
Operator: And our final question comes from Kevin Liu from B. Riley & Co. Please state your question,
Kevin Liu - B. Riley & Co.: Hi. Good afternoon.
Bob Whitman: Hi, Kevin. How are you?
Kevin Liu - B. Riley & Co.: Good. Just with respect to the FX impact that you guys talked about. I was wondering if you could quantify what impact, if any, it had on your fourth quarter numbers and talk about how that might impact kind of your growth expectations in your international direct offices for fiscal 2015?
Bob Whitman: Yes. In the fourth quarter, the effect of FX there is about $250,000 in the fourth quarter, of course, subsequent to that in the fourth quarter. Subsequently, of course, the Yen taken a dive relative to the dollar and so it will impact a bit later going forward. For fiscal 2015, it might have an impact. Our estimate right now is at current exchange rates, it affect the revenue by $1 million to $2 c million dollars of revenue and $0.5 million of EBITDA or so. And so, if we were to annualize the current exchange rate of the Yen particularly, it would be something in that range. So it would moderato our topline growth percentage a little bit if we didn't grow faster than 10% otherwise. And that's why we were saying it's approximately 10%. Certainly in local currency, we expect to have that and it will affect the bottom line by $0.5 million which is one of the reasons for the range we provided.
Kevin Liu - B. Riley & Co.: Got it. That's helpful. And then just a couple of questions around the international licensee business. I think Shawn you addressed a few of these earlier but the growth has accelerated here in each of the last two quarters exiting the year. To what extent was that helped by the release of the new leadership content versus maybe just expanding the number of licensees or perhaps just adding more content to your existing licensee base? Any color on that would be helpful.
Bob Whitman: Sure. It was that some of it but it wasn't the main factor, by any means, because it is just not out there that far yet. But I think we just had number of (inaudible) which just ahs really taken root. You have a lot of new processes and hiring and doing events. We had really strong growth in some of our bigger countries such as Brazil, China has come on really strong and some of our Central Eastern Europe performed really well. So it was just a matter of very good performance, I think, with some of our bigger partners that came through pretty strong in the second half of the year.
Kevin Liu - B. Riley & Co.: And a quick follow-up to that. So I mean the 20% plus growth that you had there in the quarter, I mean is that sustainable given that you have started more of the leadership content in there? Or is there things like new education licensees, for instance, that might have pushed it up just on the seasonal perspective?
Steve Young: No. I don't think it's sustainable. I think we came in for the year at 10% and that's always target we are shooting for, double-digit growth, on the partners as well. So as Bob mentioned, we are adding. We did add four new education licenses last year among our international partners. We will continue to do that. But it was, I would just call it kind of an anomaly in the fourth quarter. We had a couple of large deals that came though in the fourth quarter that are going to be hard to repeat.
Kevin Liu - B. Riley & Co.: Understood. Thanks and congrats on the solid performance for the year.
Bob Whitman: Thanks, Kevin.
Steve Young: Thank you, Kevin.
Bob Whitman: I believe that our operator said that was last of the questions. If there are more, we are surely delighted to answer more, but I am sure that you are tired of hearing. Are there any more questions?
Operator: We have no further questions at this time. Do you have any closing comments?
Bob Whitman: I think the closing comment would begin by thanking each of you for making the time to join today, particular thanks to you for your guidance and your thoughtfulness and support over the years. As we say in our kick off meetings here, we are far from celebrating of having achieved the summit. We are celebrating having arrived at the base camp of the new mountain which we think we are now in a position where we have got, in our industry there are, in the history of the industry, who knows, because mostly these are private companies, well our guess is there are fewer than 25 companies that have ever achieved $20 million or more of revenue because it's kind of cottage industries. We have now eight of our units either practices or offices that are north of that level. And it's not just a number. It means by the time you get to that level, you have great offerings, you have tremendously capable consultants, client partners and great clients that really solving some problems. And so it feels to us, that we are in now in a position where we can really accelerate this, where it's much less driven simply than is being pulled by our practice leaders and officers out on the field. So it feels like we are in a good position. I am sure we will have plenty of bumps along the road as we have had, whether it's the Yen or government shutdown, but the fundamental core business has been going well for a number of years, really quite a number of years. And we feel like it's ready to accelerate. So we thank you for your support and look forward to answer any questions you all might have offline, as Steve and I of course, are available for that. Thanks.